Operator: Good morning. My name is Tracy and I will be your conference operator today. At this time, I would like to welcome everyone to the FactSet Research Systems Inc First Quarter Webcast Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. Rachel Stern, Senior Vice President, Strategic Resources and General Counsel, you may begin your conference.
Rachel R. Stern: Thank you, operator. Good morning and thanks to all of you for participating today. Welcome to FactSet’s first quarter 2016 earnings conference call. This conference call is being transcribed in real time by FactSet CallStreet service and is being broadcast live via the Internet at factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management’s expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet’s business and financial results can be found in FactSet’s filings with the SEC. Annual Subscription Value, or ASV, is a key metric for FactSet. Please recall that ASV is a snapshot view of client subscriptions and represents our forward-looking revenues for the next 12 months. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events or otherwise. Joining me today are Phil Snow, Chief Executive Officer and Maurizio Nicolelli, Chief Financial Officer. And now, I would like to turn the discussion over to Phil.
Philip Snow: Thanks Rachel, good morning everyone and welcome to today's call. Overtime FactSet has proven to have an extraordinarily resilient business model. We believe we are able to remain successful because we evolve and innovate and we excel at client service and in partnering with our clients. The first quarter was challenging this year but we executed well on both the top and bottom line. ASV during the quarter grew 7.9% organically to 1.17 billion. Adjusted diluted EPS grew 18% to $1.75 well above our guidance of $1.68 to $1.72. Growth was sustained across all regions. We saw strength particularly in Asia Pac and EMEA with ASV from international operations growing 9.3% organically to $405 million. Our non-U.S. ASV now represents 34.6% of our total up from 32.6% a year ago. We did continue to see some cost pressure within the client base and when compared to Q1 of last year we saw an uptick in firm closures. That being said our growth this quarter was broadly distributed across a number of segments and user workflows. Let me highlight a few areas. First just over a year into our acquisition Portware continues to shine. With advanced analytics and cutting edge technology we’ve grown market share in the EMS space. Portware had a strong quarter with accelerated client trading volumes and the addition of new clients. Second, our multi asset class analytic solutions keep gaining momentum. We closed several significant deals this quarter and we continue to see strong growth in the risk and portfolio services. This product segment is a focused area of investment and we expect to see further positive results of our efforts as we move through the fiscal year of 2017. As the investment community moves increasingly towards multi asset class instruments, our offerings are advancing to meet their needs. Third, we saw a healthy deployment across wealth management in Q1. Our success in wealth stems from our ability to address the advanced portfolio analytics and multi asset class research and analysis needs of our wealth management clients serving the high and ultra high network investors. We are picking up market share and wealth by offering superior functionality while simultaneously helping firms lower their costs. While we had a strong performance in Q1 we’re not satisfied. Market pressures demand new solutions and this is exactly why we invest to capitalize on the new opportunities ahead. We continue to evolve our company to build out solutions across more client workflows and this quarter we did so through both innovation and acquisition. This quarter we released FDS Web, a web based version of the FactSet workstation. The significant investments we have made over the last few years in evolving our technology stack have made this release possible. FDS Web offers many of the same reports and features of the installed workstation that is readily and easily accessible over the web. There is more to come here, we’re really excited about what this means for our clients in terms of speed, mobility, and opening up new users. In addition we’ve released several new enhancements to our FactSet Reviewer industry classification system which allows users to better monitor their exposure and understand their risk and performance. While innovation is critical to our evolution FactSet has been successfully using strategic acquisitions to grow our business further and provide more comprehensive solutions for our client’s core workflows. The acquisition of CYMBA Technologies and Vermilion Software have extended our solutions across the enterprise workflow of our clients. CYMBA is a provider of high performance multi asset class investment management solutions for front office fund management and trading teams. We welcome the CYMBA team at the end of September. Vermilion is a leading global provider of client reporting and communication software and services to the financial services industry. Client reporting is a rapidly growing area of the market as a regulatory requirements increase. Vermilion’s flagship product, the Vermilion Reporting Suite is an enterprise solution that provides transparency through the entire client reporting process. We completed this acquisition in early November. While we anticipate that both CYMBA and Vermilion will expand our depth of involvement at our current clients, we are already seeing positive signs that these acquisitions will produce growth and the extension into new clients. In Q1 we saw the beginnings of revenue synergies as cross sell opportunities arose from our new acquisitions. FactSet's mission is to solve our client’s greatest challenges with the power of collaboration. In Q1 we sought and found new ways to do that and as we look ahead to Q2 we are confident in our opportunity to continue to grow ASV and to generate high levels of profitability and believe FactSet is well positioned to outperform the overall market. Let me now turn it over to Maurizio who will give a more detailed look into our first quarter performance as well as our guidance for Q2.
Maurizio Nicolelli: Thank you Phil and hello to everyone on the call. In the first quarter we continued to grow ASV and EPS while investing for future growth through our M&A activities. Our ability to solve our clients’ needs has been a core strength of FactSet over the years and continues to drive us forward. Let's now go through the first quarter results. Revenues in first quarter were $288 million. Excluding acquired revenue from the recent acquisitions, the effects of foreign currency and revenue related to the Market Metrics business in all periods presented, organic revenues grew 8.4% over the last year. During the just completed first quarter, U.S. revenues grew to $190.6 million. Excluding acquired revenues and revenue related to the sold Market Metrics business, organic revenues in the U.S. were up 7.4% compared to the year ago first quarter. Non-U.S. revenues increased to $97.5 million. Excluding foreign currency, acquired revenues and revenue related to the sold Market Metrics business, the international growth rate was 11%. This growth rate breaks down to 9.9% from Europe and 14.3% from Asia-Pacific respectively. Included in our first quarter results was a non-recurring expense totaling $954,000 resulting from the CYMBA and Vermilion acquisition. These expenses were for professional fees, local taxes paid, and also other acquisition related costs. Adjusted operating income grew to up 95 million excluding $3.8 million of intangible asset amortization and the $954,000 of non-recurring acquisition cost. Adjusted net income, which excludes the non-recurring acquisition related cost and intangible asset amortization increased 12% to $70.1 million, while adjusted diluted EPS grew 18% to $1.75. Now, let’s take a look at operating expenses. Operating expenses for the first quarter totaled $197.7 million. Our adjusted operating margin, excluding $954,000 in acquisition cost and $3.8 million of intangible asset amortization was 33% this quarter, down 40 basis points from the just completed fourth quarter. The two acquisitions reduced our adjusted operating margin by 20 basis points during the first quarter. First quarter cost of services expressed as a percentage of revenues increased by 180 basis points compared to the year ago period. The increase was driven by higher compensation and amortization of intangible assets. Employee compensation expense grew due to headcount expansion in India and the Philippines and the addition of Vermilion and CYMBA employees. The increase in amortization of intangible assets primarily relates to the two acquisitions during the first quarter. SG&A expenses expressed as a percentage of revenues was down 80 basis points compared to the year ago first quarter. The decline was the result of lower compensation expenses partially offset by higher marketing expenses and increased local tax cost. Employee compensation is lower due to the sale of the Market Metrics business in the fourth quarter of fiscal 2016. Marketing costs increased due to higher branding and advertising campaigns, while local tax cost rose due to the two acquisitions during the quarter. At the end of our first fiscal quarter, we had 8,713 employees. Excluding employees added from the CYMBA and Vermilion acquisitions and employees in the sold Market Metrics business, headcount increased 10.5% from a year ago. Effective September 1, 2016 we realigned certain assets of our global operations from FactSet Research Systems, Inc our U.S. parent company to FactSet UK Limited our UK operating company to better position us to serve our growing client base outside the United States. This realignment allows us to implement strategic corporate objectives while achieving significant operations and financial efficiencies. This realignment is structured to compliment our increasing global growth and reach. The realignment was not announced in September as we were actively implementing the change internally and also with our international client base. As a result of the realignment and the reenactment of the Federal R&D Income Tax credit our effective tax rate declined 550 basis points to 25.9% in the first quarter of fiscal 2017 compared to 31.4% in the prior year period. Free cash flow during the last three months was $39 million, a decrease of $18 million from the same period last year. We defined free cash flow as cash generated from operations less capital spending. The $18 million decrease was the result of higher client receivables and the timing of U.S. payroll processed during the period. Our DSOs worked 34 days at the end of the first quarter compared to 32 days in the prior year period. As part of the realignment the majority of our international clients are now invoiced through our UK entity. This change delayed payments from some clients and drove up client receivables less than 60 days outstanding. The timing of when U.S. salaries were paid in November 2016 compared to the prior year period also lowered our free cash flow. Our cash and investments balance was a 194 million down 58 million during the quarter. Our diluted weighted average shares decreased by 572,000 shares primarily as a result of our open market repurchase activity and the completion of our accelerated share repurchase program. During the first quarter we repurchased 505,000 shares of FactSet common stock under our existing share repurchase program and at an average price of $157 per share. In addition final settlement of our previously disclosed ASR program occurred during the first quarter. Now let’s turn to our guidance for the second quarter of fiscal 2017. For the fiscal second quarter we expect revenues will range between 293 million and 298 million. Please note that we typically deploy our annual price increase every January. ASV from our annual price increase is projected to be 10 million compared to 9.4 million a year ago. GAAP operating margin should range between 31% and 32% while adjusted operating margin should range between 32.5% and 33.5%. We expect our annual effective tax rate to range between 25.5% and 26.5%. GAAP EPS is expected to range between $1.70 and $1.74. Adjusted EPS is expected to range between $1.78 and $1.82. The midpoint of this range suggests a 13% year-over-year adjusted EPS growth increase. In summary we are pleased to see our business perform well in this difficult market environment. Our first quarter performance metrics including 8% organic ASV growth and 18% adjusted EPS growth highlight the strength of our business model. In looking forward to the second quarter, the midpoint of our guidance suggests 7% organic revenue growth and 13% adjusted EPS growth. As we navigate through this market environment we are confident in our opportunity to grow ASV and generate high levels of profitability. Thank you for your participation in today’s call, we are now ready for your questions.
Operator: [Operator Instructions]. And your first question comes from the line of Joseph Foresi with Cantor Fitzgerald, your line is now open.
Joseph Foresi: Hi, I think you talked about some of the strengths in your opening remarks but could you just give us an update on some of the areas that are weak and have you seen any changes there?
Philip Snow: Sure Joe, hi it's Phil Snow. So as I mentioned we are seeing growth and strength and wealth. We’re also seeing great momentum in our analytics business. I would say if I was to highlight one area that was weaker versus the same quarter last year it would be banking but I do want to remind everyone that Q1 is traditionally light at the banking that’s access is our clients rationalizing headcount going into the end of the year. Within banking we did see some pricing pressure focusing on headcount and costs and we are seeing capital IQ and ethanol bundling their products in some cases. Clients are not happy about that and the good thing is they are coming to us and asking us how we can help but that would be the one area I would highlight in terms of weakness.
Joseph Foresi: Okay, and then on the margin profile I know you gave some quarterly guidance for next quarter but what’s the long term outlook there, has that changed at all and obviously you’ve talked about some dilution with some recent acquisitions?
Maurizio Nicolelli: Hey Joe, it is Maurizio. So we continue to manage our adjusted operating margin to right around 32.5% to 33.5% and that is consistent with the last five quarters. If I was to look out over the next two to three quarters I think we would be very consistent with that range and then going forward we would see something similar to that, potentially maybe some leverage but one, two, three years out.
Joseph Foresi: Got it, okay and then the last one from me on the free cash flow side and the tax rates. From a free cash flow front do you expect that to sort of normalize over the next couple of quarters and how should we think about the new tax rate, how long will that last, thanks?
Maurizio Nicolelli: Yes, so free cash flow was down 18 million this quarter. It was really driven by the change in the realignment to our FactSet UK. Now clients are being billed and invoiced and contracted through the UK and that created some delays in client payments. We really see that as very temporary and normalizing in the next three months going forward. On the tax rate, the tax rate now has the new normal for our tax rate now is our range of 25.5% to 26.5% and we don’t see that materially changing during the rest of the fiscal year.
Joseph Foresi: Okay, thank you.
Operator: Your next question comes from the line of Shlomo Rosenbaum from Stifel. Your line is now open.
Shlomo Rosenbaum: Hi, good morning. Thank you very much for taking my questions. Just I want to ask you a couple of housekeeping items and then just get a little bit more into the acquisitions. Around the fee -- the revenue guidance what is the organic growth implied in the revenue guidance either at the midpoint or the two ends, could you help me with that Maurizio?
Maurizio Nicolelli: Okay, the midpoint on our revenue guidance is right around 7% going forward.
Shlomo Rosenbaum: Okay, and then are you able to parse out how much in the ASV on the table, the very last table in the press release how much of that was Portware versus the two acquisitions that were completed this quarter.
Maurizio Nicolelli: So the two acquisitions added 15 million in ASV during the quarter and that is acquired revenue. Portware is now embedded within our overall ASV number and we don’t break that out.
Shlomo Rosenbaum: Okay, got it. And then just a little more detail on the acquisitions, it seems like the Vermilion business fits into your publishing business, something that you highlighted a number of years ago at an Analyst Day, just strength in pushing publishing. Is there -- are there holes that were in your existing business, can you talk about how they parsed that out? And then again on CYMBA, you highlighted a little bit of the order management system, can you just give a description of what exactly the business does, when I go to the website it just seems like there's a whole host of things that they do for what seems to be -- the business doesn't have that many employees?
Philip Snow: Sure, hey Shlomo, this is Phil Snow. So let me look at Vermilion first for you. The Vermilion is really a very elegant, best in class enterprise client reporting solution. The portfolio of publishing solution that FactSet has today really takes the portfolio and audit reports. We create custom reports for our clients that way. This is a broader solution that allows our clients to input other types of data and it is much more flexible in terms of the types of reports that it can create. So it is a very nice compliment to what we have today. I would think of it a little bit like the code red versus the FactSet IRM solution. We are putting those two together, it just means we can stock more -- more solutions for our clients particularly in the client service workflow part of the entire investment lifecycle which we are seeing increased traction on. In terms of CYMBA we are really excited about that. It really provides a missing piece that we had with the combination of FactSet and Portware together. So it has order management capabilities. The other thing that it has is very good pre and post trade compliance rules that were in engine essentially. So, we think that the combination of over at CYMBA and the FactSet workstation really fill out the entire investment lifecycle for us. So you are right in that, it is a small group of employees but it fills a critical missing piece for us that we could have built but this was just a way to fast forward that and we are really excited about the long-term opportunity. And they have an excellent solution. I think they suffered a little bit from what any small company does in some spaces that if you go in and you try this out what could be a better product to a client but you are a small company. You are a very large investment manager. They are going to wonder are you going to be around in the long-term so now that CYMBA is part of FactSet, a well established player then we can cros sell it but we are really bullish about what it means for us in terms of the upside there.
Shlomo Rosenbaum: On their own were these companies growing at growth rates that were in excess of FactSet’s growth rates?
Philip Snow: Definitely.
Shlomo Rosenbaum: And then I am going to leave off at this at least for now. The sales environment in general, the markets have moved up a lot after the presidential elections. Are you seeing any of that translate into improved behavior from your clients in terms of purchasing patterns or is it really that’s not really translating into that?
Philip Snow: It’s hard to predict honestly and if it will I think we’ll see the affects of that later. It’s not something that given our sales cycle I think we would see immediately. We did see some decisions getting pushed out a little bit further over the last few months and we’re hoping that our close rate will improve. But we can't make any solid predictions on that. Certainly it doesn’t hurt.
Shlomo Rosenbaum: Alright, thank you very much.
Philip Snow: Alright, thank you.
Operator: Your next question comes from the line of Manav Patnaik with Barclays, your line is now open.
Unidentified Analyst : Hi, this is actually Greg calling on for Manav. I just wanted to ask about your user count growth in the first quarter which looks pretty good relative to last couple of 1Qs. First off can you confirm that that’s all organic and then maybe some color around the breakdown between base business growth, competitive wins, and then some of the closures you have been seeing?
Philip Snow: There is a lot in there Greg, I’ll start with yes, it was all organic users that grew. I’ll go back to the comments on wealth, we saw some really nice closes in Europe and Asia with some private banking deployment. So those were pretty large closures. Can you remind me of the other three questions that you asked?
Unidentified Analyst : Yes, I was just asking on the breakdown between base business growth, so additions with the existing customers and then you know how much impact you are seeing from closures from some of the smaller accounts that you’ve talked about?
Philip Snow: Sure, so when we look at this Q1 versus last Q1 there was an uptick in firm closures which affected the relative number. We did see when you look at users no longer with firm which typically means they’re moving somewhere else or potentially they are getting laid off, there was a small uptick there. But I’d like to steer you back to what we said many times which is we firmly believe that our largest opportunity really is within the biggest clients that we already have today. So we love to get new names but it is by no far the biggest piece of our business every quarter nor is it the biggest long-term opportunity we have. So we’re really focused on having an enterprise solution for our clients and capturing that entire investment lifecycle of the trade. So when you go into FactSet now with the acquisitions and the innovation that we’ve developed you can go from research to portfolio management to trading to analytics to client reporting that if I was you it is what I would be focused on.
Unidentified Analyst : Okay, thanks and then I guess I want to ask about the pending fiduciary standards, rules and what you are hearing from your customers there and if there are any solutions that are -- or offerings that you provide to help there, I don’t know if Vermilion sits in there but any color you can provide?
Philip Snow: We’re investigating into that. We are focused on regulatory as something that is important for us. We recognize it is a big opportunity, maybe that’s one we can follow up with you later.
Unidentified Analyst : Okay, that’s it for me. Thank you.
Operator: Your next question comes from the line of Toni Kaplan with Morgan Stanley, your line is now open.
Toni Kaplan: Hi, good morning. I was wondering if you can provide some additional color on just the dynamics going on the buyer side. I know you just mentioned the -- some closures and some headcount reductions but basically just in terms of you mentioned the largest opportunity being with your existing buy side or biggest clients how is the progress going on cross selling there and just what’s going on with buy side would be helpful?
Philip Snow: Sure, okay and just on this -- so I’ll touch on a couple of things, one is just going back to the enterprise conversation with our clients, we are spending more time with our largest clients mapping out their information technology landscape, looking at all of this solution that they have to offer or that they need help with. And we're finding that clients are very interested in talking to us with these new acquisitions that we have done to begin thinking about more holistic solutions for them. I would say it is early days on the cross selling story, but it is something that we're entirely focused on.
Toni Kaplan: Great, and also in the past you have spoken about potentially providing some additional disclosure around workstation versus non-workstation or even just what percent fees make up, do you have any further thoughts on what you might provide and when you might consider providing it?
Philip Snow: We are still evaluating that Toni and with the recent acquisitions that we have done we are just taking the time that we need to make sure that if we are going to change how we report that we do it in the best possible way and it is something that we can stick to for the future.
Toni Kaplan: Understood and on just gross margins, they have come down a little bit over the last couple of quarters just, is not attributable to the acquisitions or are there other factors that could be driving that expense number?
Maurizio Nicolelli: So far -- hi, Toni it is Maurizio. It was hard acquisition. Also a majority of our new hiring goes into cost of services so driving that that percentage is slightly higher. But at the end of the day we have really just managed the company at the operating margin level.
Toni Kaplan: Okay, excellent and then one just last quick one, just after the geographic realignment should we expect that your British pound exposure will increase or no because you will still be dealing in U.S. dollars and it will just be more on the expense side, appreciate all the time, thank you?
Maurizio Nicolelli: Yes, our invoicing declines has not changed. We still have well in the north of 95% of our clients being billed in U.S. dollars going forward. The realignment did not affect clients that way.
Toni Kaplan: Excellent, thanks again guys.
Maurizio Nicolelli: Thank you.
Operator: Your next question comes from the line of David Chu with Bank of America, your line is now open.
David Chu: Thanks. Phil you mentioned strength in analytics but maybe you can describe non-terminal revenue growth across the four major products and I think last quarter you mentioned double-digit growth across your core products and just wanted to see if that was consistent this quarter?
Philip Snow: We haven’t broken it out with that level of granularity this quarter. When you look at Q1, I did mention that analytics had a very good quarter. And again it is traditionally not our biggest quarter so I wouldn’t -- we don’t really look at Q1 as -- from a data standpoint or something like that. It gives us that much clarity on those growth rates.
David Chu: Okay, and then in terms of the sell side slow down, is this coming from a concentrated number of days or are you seeing it across the board?
Philip Snow: That is a good question. I think we're seeing generally pressure across the sell side in both the bigger firms and the middle market firms.
David Chu: Got it, okay, thanks and just lastly, so if the new fiduciary rules around wealth management are implemented, just your thoughts on maybe the potential impact?
Philip Snow: Yes, that's one that we will get back to you on again. We had that question earlier on the call.
David Chu: Okay, sorry about that.
Philip Snow: No problems, thanks.
Operator: Your next question comes from the line of Peter Appert with Piper Jaffray. Your line is now open.
Peter Appert: Thanks, so Phil earlier you highlighted favorable peer gains and you talked about CapIQ maybe some customer dissatisfaction, can you just expand little bit more on what you are seeing in terms of the competitive market place, it seems like both Bloomberg and Thompson maybe have stalled a little bit here, do you see some momentum from a share perspective?
Philip Snow: So, I do, hey Peter thank you for the question. So, we are confident that we're outperforming on a relative basis in most segments of the market. So, I think you are right in sort of highlighting that the other firms are struggling. We are looking at different segments and we are very focused on who is our competitor in a particular segment. We view such a massive opportunity for us in the marketplace. We are just over a billion dollars and we know that the addressable market share for us is at least ten times that today. So we are just focused on what we can do the best with specific workflows against all of these discreet competitors. But I think you're correct in saying that if you look at all of their performance instead of what we’re hearing that it is a challenging environment and we feel that we're the best positioned to execute on it now and for the future.
Peter Appert: Great, thank you. So with 6% terminal growth a little bit of pricing it might imply that the desktop business is growing pretty much in line from these overall revenue performance which will then suggest that the analytics enterprise business is probably growing similar way, is that a fair assessment.
Philip Snow: We have so many different types of user workflows we might have 20 different types of clients that use FactSet and you know we don't price our product the same way that some of our competitors do. So it’s very difficult I think for you to look in and sort of draw a meaningful conclusions on that. In some cases if we have a very large wealth deployment the average price for that wealth deployment might be significantly lower than if you added a portfolio manager for example even a medium size institutional asset manager.
Peter Appert: Okay and then lastly for Maurizio the headcount has grown consistently a little bit faster than ASV growth for FactSet in recent years, that is a phenomenon we should expect to continue are there margin implications around that?
Maurizio Nicolelli: Right, so if you look at headcount growth ex doing the acquisitions and the Market Metrics being sold, our growth is around 10.5% but our growth in headcount has been higher in India and the Philippines where our cost of an employee is much less. So even though you see our employee growth being higher than revenue growth, from a dollar perspective its right inline slightly behind revenue growth.
Peter Appert: Got it. Thank you guys.
Philip Snow: Thank you.
Operator: Your next question comes from the line of Warren Gardiner from Evercore, your line is now open.
Warren Gardiner: Great, thank you. So on portfolio analytics I think you guys touched on a little bit but it sounds like strong growth again. Can you just give us any color on the winds there, it sounds like there may be more switches from other providers and kind of new users who didn’t have the capability previously, can you just kind of confirm or talk about that a little bit?
Philip Snow: Sure, hi it is Phil Snow. So, when we talk about our multi asset class risk product we’re talking about an enterprise solution there for our clients in the risk area. So we’re in competition sometimes with MSCI in that space with BlackRock with a whole bunch of different niche competitors as we filled out the fixed income and more asset classes in there its opened our abilities to do more than just equity risk for our clients. And it’s something that a lot of our clients are focused on in this environment. So we continue to invest there, we got a lot more that we’re going to be doing that’s coming out throughout the year as I mentioned in my comments earlier. It’s an area of our business that we know is exceptionally important for our clients and one of the trends that we’re noticing in a marketplace, when I talk to heads of performance at a lot of the big buy side shops they want to see consistency in the data that they’re using for risk and performance and for portfolio analytics not just in the middle office but all the way through to the front office. And that’s something that we believe at FactSet we’re incredibly well poised to execute on and the opportunity for us that’s in the front office we believe is huge. And by focusing on this area which is our core competency we can then build that out overtime.
Warren Gardiner: Okay thanks and what about just sort of the wins you are getting, are you finding that they are switching from other providers or like sort of people...?
Philip Snow: Yeah in many cases they’ll be switching from other providers. So I mean there are some out there that haven’t been invested in and are not getting better and that’s just something that we are pouring it’s on a gas. And we’ve got some great partners in that space as well that get more leverage by including their functionality on our system. So we’re not just building everything we’re sort of creating this ecosystem that makes it easy for other analytics providers to integrate into FactSet and it is what we did originally, right. We were earlier the Switzerland of market data and fundamental estimate data and now we are sort of getting into this environment where we can be that for a client when it comes to risk and analytics.
Warren Gardiner: Great, thank you and then I guess I just apologize if I missed it, I mean could you just talk a little bit about how the fees business did during the quarter?
Philip Snow: The fees business did ok. Part of our fees business is leveraged to our strategic partnerships and alliances group so that's when we monetize data outside of FactSet. I am on side of investment management and banking. And there was a lumpy loss this quarter that is a lumpy business. We have big wins and we have big gains of big losses sometimes. And the fact that Q1 is traditionally a smaller quarter for us there was one of those in there this quarter which dampened the fees growth. But I would say the fees growth within the core institutional Asset Management and banking business was very healthy.
Warren Gardiner: Great, thanks a lot
Philip Snow: Sure.
Operator: Your next question comes from the line of Peter Heckmann, Avondale. Your line is now open.
Peter Heckmann: Good morning everyone, I think most of my questions have been answered but just had a few follow-ups. Noting that web-based version of the workstation, where are you targeting that, is that for smaller firms or the retail market and will that have a lower price point and reduced functionality than the full workstation?
Philip Snow: Yes, that is a great question. So, not necessarily. If we are solving the exact same workflow for the same type of clients it is the same value. We would price it the same way but there have been some users over the years that have essentially said just for ease of use purposes and even for costs they require a web based version. A good example of that is senior bankers so, in banking we have always been very well penetrated in investment banking and research and we have been told if we developed a web based product that that would be the best way essentially to get on to the desk of senior bankers. There are a lot of hedge funds out there that much prefer a web based product. Private equity firms, there's a lot of opportunity and if you really want a more elegant mobile environment web is the way to go. And even for our caller user base, the speed of the product is faster, navigating it is easier. We believe there's going to be a lot of good effects as we continue to build out more functionality in the web based version. And all of this is possible because we made a massive investment in our technology stack over the last five years going from mainframes to this more distributed Linux architecture. It's one of the really positive things that has come about as part of the effort.
Peter Heckmann: That's helpful. Thanks and then you noted a little bit higher trading volume, equity trading volume impacted in the period post-election, was that enough to add a million or two of revenue or not so much?
Philip Snow: Yeah, it was -- it definitely helped when you look at both where and how we transfer that product it's a combination of license fees, professional fees, and trading volumes so it is the minimum. But the fact that the trading volumes were up over the last couple of months definitely helped.
Peter Heckmann: Okay and then just one housekeeping question, Maurizio what was the exact acquired revenue in the quarter, apologize if the question is already answered?
Maurizio Nicolelli: Yeah, the total was 15 million.
Peter Heckmann: That was the ASV, what was the actual revenue in the quarter itself?
Maurizio Nicolelli: Revenue included in the 288 million was less than 1 million. So it had a minimal effect.
Peter Heckmann: Alright, thank you very much.
Operator: Your next question comes from the line of Tim McHugh with William Blair and Company. Your line is now open.
Tim McHugh: Yes, thanks. Just maybe a couple of financial type questions, one I guess given ASV growth of 8% in the quarter why is 7% organic revenue growth, usually there's a little tighter connection with 7% being your guidance for Q2, sorry?
Maurizio Nicolelli: So we -- so our ASV and revenue projection is that midpoint is right around 7% and that's what we're projecting today. There's a range there which is higher and lower but essentially what we are projecting today is right around that 7% organic growth number.
Tim McHugh: Right, okay. And I guess and then tax wise I get that it has obviously come down and given some of the changes you made to the extent you have had a the time I guess or a capability to look at destination based tax systems and some of the proposals that are being discussed in Washington, how would those impact you to the extent you thought through those things and how you have kind of structured the business going forward here?
Philip Snow: So we have broken out the business between U.S. and international. Our UK entity is responsible for our international business now going forward both operationally and financially. We still tax almost 70% of our income here in the U.S. so if a tax legislation comes out and it lowers the tax rates here in the U.S. that will be just an incremental benefit to FactSet. But overall we made this change in order to better serve our client base internationally and we don’t see going backwards on that strategy in the future.
Tim McHugh: Okay, alright, thank you.
Operator: Your next question comes from the line of Hamzah Mazari from Macquarie Capital, your line is now open.
Hamzah Mazari: Good morning, thank you. Phil you had mentioned earlier in the call CapIQ and SNL bundling their product and clients asking you for help. Just any color around what your response is, is it a price driven response, is it a value driven response, any color as to how you are tackling that dynamic?
Philip Snow: Sure, it’s a great question. So I mean SNL has a very sticky product. I think you are probably aware of that and we get asked repeatedly if we will build something like that. It will probably be a heavy lift for us and if we would have figured out where it is we wanted to focus our resources that might not be the highest priority or the biggest opportunity. But if we can figure out a way to do that we certainly would consider it. I think they consider FactSet to be a better long-term partner and have a better product. They are not going to be happy about sort of being forced into something so, we will get asked on occasions for pricing reduction. We’re just seeing generally in banking not just with that but there is a very heavy focus on cost. We just go back to trying to be a good partner for our clients, making good decisions for the long-term, and responding to them the best way that we can.
Hamzah Mazari: Great, and just a follow up on your ETF product could you just give us a sense of how investor should think about the net impact of higher inflows into passive investing, obviously you have an ETF product but I am not sure what the critical mass of that product is and then so that’s why I am just asking around the net impact to your business of higher movement into passive investing? Thank you.
Philip Snow: Sure, I mean that’s a great question. So the ETF product itself has very detailed analytics around particularly EPS. Their holdings is best in class. It is a nice compliment to what FactSet has today. This shift from active to passive certainly doesn’t help underperforming active managers as the fees are much lower on the passive side. But what FactSet has is we are a workflow solution, so whether you are active or passive we have analytics and portfolio analytics and reporting capabilities to help you. So we have the same solutions that we can sell to active managers that we can sell to passive managers and in a lot of cases some of our biggest clients will have strategies around both although have a hybrid kind of a smart data type approach. So, we’re not just focused specifically on ETF, we’re focused on the entire workflow and where we can help that.
Hamzah Mazari: Great, thank you so much.
Operator: Your next question comes from the line of Bill Warmington from Wells Fargo. Your line is now open.
Bill Warmington: Good morning everyone. The question I been getting this morning is one around the organic ASV growth and basically the question is where is it bottomed and what does it take to get it to reaccelerate. And you mentioned a couple of things already in terms of cost pressure, firm closures. When do recycle through that and start to see the reacceleration?
Philip Snow: If we knew we’d love to tell you but we don’t. We are focused on the opportunity right in front of us. So we have a great suite of products. Like I said we have great partnerships with our biggest clients and we feel that just versus our competitors we have a huge advantage. We have an excellent product, we have a great service team. We have a partnership with them, they trust us and we are just focused on executing the best we can every quarter and we’re really optimistic about our long-term opportunity.
Bill Warmington: So, a question on cost pressures that you have mentioned a couple of times, they seem like they have been part of the picture now since the financial crisis and my question is what’s changed, what's been driving the increased client focus and you highlighted the sell side a couple of times I want to know if you are also seeing that on the buy side?
Philip Snow: Sure its related to the last question on the buy side, the active managers are feeling pressure from the lower fees that passive managers are charging. So if you are an underperforming active manager you’ve got to think about ways to sort of reduce cost. So we do see in overtime you know we’ll see some consolidation I believe on the buy side. And our focus on enterprise solutions and not being so highly leveraged to the workstation overtime is the best strategy that we think we have as a company. And we’re -- part of this is we’re a real technology company. We have technology solutions, we have solutions that help our clients be more efficient, and with focus on giving them the full breadth offerings that we have. Even if the number of workstations goes down in the entire industry I’m just going to remind everyone FactSet has a small percentage of what’s out there so our biggest competitors and we estimate have at least 300,000 terminals each forget about all the other niche players. So we’re focused on a multi prong strategy, getting more users particularly in the front office and then building out enterprise solutions to service the entire client.
Bill Warmington: Then our last question on the wealth management side you guys have a nice product that’s been taking share the high and the ultra high network side of the market and my question is can you take that product down market at some point and because obviously there are a lot more players in the lower end of the market?
Philip Snow: So, it would be nice to be able to offer both for clients that service both. I’ll point to the technology investment that we’ve made with FactSet Web. Previously it would have been difficult for us to do that but with our next gen technology environment we will be able to scale more easily, do things faster. It’s going to allow us to go after that segment if we wanted to and have it be a profitable thing for FactSet to do.
Bill Warmington: Well, thank you very much.
Philip Snow: Thank you.
Operator: Your next question comes from the line of Keith Housum from Northcoast Research your line is now open.
Keith Housum: Great, thanks, I appreciate the opportunity to ask questions. Look at the web version that you guys mentioned earlier, the desktop just a few moments ago. You have been offering for your customers to have one or the other or they be able to have both at no cost or both of their additional cost?
Philip Snow: They could definitely have one or the other, that we’re still evaluating the best go to market strategy it’s just been released. What’s in there today is real time news and quotes, research, some great company analytics, some industry reports. We’re still putting in there some of our other applications like universal screening, the new version of PA we have which is PA3 that’s getting rolled out as we speak so as we fill out the suite we’ll have a better hand to feel on that in the coming quarters.
Keith Housum: Got you and then just a historical question for you. You know since the past 8 quarters your new user growth has been actually you know pretty good and obviously one of your strategies is to get deeper into your customers and especially be able to charge more for those, how long does it generally take from time when you acquire user to perhaps when you able to the next iteration or kick into the next battle of used to create more revenue to the bottom-line for you guys.
Philip Snow: That really depends on the client. What we have found overtime is when we close a client that we’re able to build a relationship and layer on analytics and fees and so on. It is pretty rare that someone comes in and gets everything all at once but there are some re-variables there in terms of the types of clients and so it’s hard to give you a really easy answer.
Keith Housum: Okay, thank you.
Operator: Your next question comes from the line of Andre Benjamin of Goldman Sachs, your line is now open.
Andre Benjamin: Thank you and good morning. Can you hear me, I am on a cell phone here.
Philip Snow: Yes we can hear you fine Andre.
Andre Benjamin: Great, thanks. So my first question, any expectations on the web product, are there any expectations for the impact to growth or margins from the release of this, I am thinking on either the cost to the investment side and then is there any benefit to pushing existing clients on to the web based product or is this simply you making sure that you have solutions for the full spectrum of customer?
Philip Snow: Yes I wouldn’t expect a massive impact right away and it may will be that there are some clients that are excited about going on to the web based product. Its early days, it’s just been released. We have closed an exciting client with that, it’s something that I use every day. I really like using it so I am really optimistic about what it means for us in the long-term.
Andre Benjamin: Got it and last quarter you mentioned an unusual number of cancellations just due to consolidations and some other industry issues, just wondering was there any notable trend or how has that continued this quarter or has it gone more back to normal?
Philip Snow: So we did say as I mentioned earlier we did see a little bit of an uptick on the firm closures versus the same quarter last year. But I want to take it back again to where the biggest opportunity and most of our revenue is in most of our growth opportunity. It’s not with sort of the smaller names that we’re closing, small wealth managers, small hedge funds, it’s really the bigger clients we are focused.
Andre Benjamin: Okay, thank you.
Philip Snow: Thanks Andre.
Operator: Your next question comes from the line of Glenn Greene with Oppenheimer, your line is now open.
Glenn Greene: Thank you, two questions the first one, going back to the user growth which now look pretty strong in the quarter. You eluded to wealth management, so I was just wondering what proportion directionally wealth management was of the user growth and I think you also sort of eluded to lower pricing point on the wealth management so maybe that helps us reconcile somewhat the ASV acceleration. Can you help sort of help me think through that, what proportion of the growth from wealth management and the relative pricing?
Philip Snow: We don’t break it out but it certainly was the biggest contributor to the total and we have a number of different packages for the wealth market and they are typically given the size of the deployments and the use case a lower price point and what we would charge in institutional asset manager or hedge fund. So you’re right it’s a lower price workstation than the traditional FactSet workstation.
Glenn Greene: Any range of sort of the differential enterprising, anywhere to think about that?
Philip Snow: The offering can range from sort of the low thousands all the way up to 10,000 in some cases for wealth in our fully loaded investment management workstation with portfolio and analytics could be multiples of that in some cases.
Glenn Greene: Okay and then a different question but, the topic of corporate tax reform with the new administration obviously a big topic for the market right now but with your realignment that you just announced and the benefit of the lower tax rate you’re getting but really my question I guess at this point is what proportion of your profitability now is in the U.S. and would potentially benefit from lower corporate tax rate because of the new Trump administration?
Maurizio Nicolelli: So right, this is Maurizio, so right now ASV internationally is 34.6% of the overall total. Our income that’s been taxed overseas is right around 30% to 31% now based on this realignment. Prior to that we were below 20%. So what we’ve done here is really realign our structure operationally and also our financial structure to better match our international operations. So which means that almost 70% of our income is no tax at the U.S. tax rate currently.
Philip Snow: If the tax rate changes it goes down there is a benefit to FactSet going forward.
Glenn Greene: Got it, that’s all I needed. Thank you very much.
Operator: Your next question comes from the line of Shlomo Rosenbaum from Stifel, your line is now open.
Shlomo Rosenbaum: Hi, thanks for indulging me in a follow up. Phil, I want to just ask you about CYMBA and the order management system, my kind of checks with clients are that one of the issues FactSet has had on the trading floor was getting over the lack of an order management system. How credible is the system that you bought and how much of a difference do you think it makes in terms of being able to sell on to the trading floor?
Philip Snow: It's a great product, very focused on the UK market. You highlighted that it's a small company but we were really impressed with the management team, the technology they have built. It's a long-term way but again it was a question of are we going to build it or should we buy something that we believe was a really good product. So I think the longer term opportunity for us when you think about the synergies is with portfolio, management, trading, the front office. FactSet has been in the front office for some time with portfolio managers at U.P.A. but if we can also compliment that with a portfolio management system or the management system and execution management system in the front office. We believe that that represents a really large opportunity for us just in terms of market share and help tie the enterprise story together really nicely.
Shlomo Rosenbaum: Okay thanks.
Philip Snow: And we're happy to offer you a demonstration of the product whenever you like.
Shlomo Rosenbaum: I'll take you up on that.
Philip Snow: Alright great.
Philip Snow: Okay, thank you all very much and we'll see you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.